Operator: Good afternoon, ladies and gentlemen, and welcome to Gulf Island's conference call to discuss second quarter 2023 results. All participants will be in a listen-only mode for the duration of the call. This call is being recorded. At this time, I would like to turn the floor over to Ms. Cindi Cook for opening remarks and introductions. Cindi, please go ahead.
Cindi Cook: Thank you, and good afternoon. I would like to welcome everyone to our second quarter 2023 teleconference. Our results were released this afternoon and a copy of the press release is available on our website at gulfisland.com. A replay of today's call will be available on our website after 7:00 p.m. this evening. Please keep in mind that the press release and certain comments on this call include forward-looking statements and actual results may differ materially. We would like to refer everyone to the cautionary language included in our press release and to the risk factors described in our most recent Form 10-K and subsequent SEC filings. Please also note that management may reference EBITDA, new project awards and backlog on this call, which are financial measures not recognized under US GAAP. As required by SEC rules and regulations to the extent used, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our press release. Today, we have Mr. Richard Heo, President and CEO, and Mr. Wes Stockton, Executive Vice President and CFO. Mr. Heo?
Richard Heo: Thanks Cindy, and good afternoon, everyone, and welcome to our second quarter results conference call. I'm happy to be here with you this afternoon, and I hope that each of you and your families are continuing to stay healthy and safe. During today's call, I'll provide key takeaways from the quarter, a review of segment performance and end market trends, and an update on the progress we've made on our strategic initiatives. Wes will discuss our second quarter results in greater detail. We'll then open up the call for questions and end with closing remarks. Our favorable strategic positioning and strong execution led to another period of solid financial and operational performance during the second quarter, highlighted by double-digit organic growth in Services and positive results in Fabrication. We remain encouraged by the favorable trends in our key end markets in the Gulf Coast region, and we continue to expect growth in Services and small-scale Fabrication for the full year 2023. In July, we received a cancellation notice for our large fabrication project. While this is disappointing, it was not a big surprise, and we'll continue to look for ways to mitigate the impact in the short term. More importantly, we remain encouraged by the bidding activity in the large fabrication market and are optimistic we'll be able to secure another large project award in the near term as we are pursuing several large fabrication project opportunities. Now turning to our segment results. First, looking at the Services division, our second quarter revenue grew 10%, driven by growth in our core offshore services business and contribution from Spark Safety. While our volume growth is somewhat limited by our ability to increase headcount due to the tight labor conditions, we continue to reallocate resources to higher return opportunities. As a result, Services EBITDA margin was up over 300 basis points from last year which led to 40% growth in operating income during the quarter. A key focus of our services business continues to be retaining our craft labor force and looking for opportunities to attract and develop new talent. We have been pleased with our ability to maintain our Services headcount which currently stands at roughly 600 employees despite what continues to be a very competitive labor market. The demand trends for offshore services in our core Gulf of Mexico market remain attractive driven by the favorable oil and gas market conditions. Our new Spark Safety product offering continues to gain traction in the market and has quickly become a material contributor to our Services results. With the success of Spark Safety and the favorable market trends, we continue to expect our Services business to generate strong operating income growth in 2023. Now moving into our Fabrication division, I'm extremely proud of our Fabrication division's performance, and our second quarter results highlight the longer-term opportunity for this business. We have had tremendous success growing our small-scale Fabrication business, and this volume is now making a more significant contribution to the fixed overhead of the overall division. We remain well positioned to further grow our small-scale Fabrication business and continue to be excited about our positioning in this business over the longer term. While the year-over-year comparisons in our small fab business may vary from quarter-to-quarter, we still expect full year growth in 2023. While we were disappointed to receive the cancellation notice for our large fabrication project, the bidding environment for the large projects continues to be favorable, given the attractive end market trends and limited industry capacity, and we continue to pursue several attractive project opportunities to mitigate the impact of the canceled contract. Project activity in markets such as LNG, petrochem and energy transition remains robust, and we're hopeful that a meaningful contract could be awarded in the second half of 2023. It goes without saying, we will not chase backlog, and we are committed to remaining disciplined in our pursuit of large contract awards given the inflationary environment and labor challenges that we continue to face today. Finally, turning to our Shipyard division, we continue to make progress towards a safe wind down of our Shipyard operations. With respect to our 70-vehicle ferry project for the Texas Department of Transportation, during the second quarter, we completed construction of the vessel for the Texas Department of Transportation and successfully delivered her to a draw dock in Texas as a condition of the contract. However, in connection with the turnover activities of the vessel, corrosion of the propeller blades was identified, which may require replacement. We are evaluating the cause of the corrosion on the blades and working with the customer to minimize the financial impact as we work toward final delivery and commissioning of the vessel. We're hopeful that we can finalize the remaining obligations and close the contract during the third quarter. With respect to our two forty-vehicle ferry projects for the North Carolina Department of Transportation, we received final customer acceptance of the first vessel. The last ferry is in the final outfitting stage. However, delivery and commissioning has been delayed due to subcontractor delays and malfunctioning equipment, which has been ordered and we are awaiting delivery. Unfortunately, to these -- due to these unforeseen delays, we are now targeting completion and delivery of the vessel in September. Our lawsuit in North Carolina State Court seeking damages resulting from the design flaws for the vessels and the resulting delays is ongoing which we look forward to pursuing in earnest after our final contract obligations with North Carolina Department of Transportation are complete, which is the delivery of the last vessel. Turning to the MPSV lawsuit with Hornbeck, there has not been much movement since our last update. We continue to progress towards trial, which is scheduled to begin in October 16, 2023. I'd like to wrap up my comments with a quick update on our progress against our strategic initiatives. Our continued execution against our business transformation strategy is evident in the consistency and strength of our recent financial results. We have built a stable and profitable Services platform. Our small-scale Fabrication business is making a more significant contribution to the fixed overhead of the overall Fabrication division, and we are well positioned to execute on large fab projects. As a reminder, the key aspects of the second phase of our strategy are based on pursuing growth opportunities in new end markets as well as our traditional offshore markets, growing and diversifying our Services business, further strengthening project execution, and expanding our skilled labor workforce. Some of our recent progress on these initiatives include the following. First, in terms of our pursuit of project opportunities in traditional offshore markets as well as new growth in the markets, we continue to generate strong growth from our traditional small-scale fabrication markets, and we expect this momentum to continue. In addition, as we have discussed, we believe our strategic location in Houma and our track record of quality, on-time execution on complex projects positions us to take advantage of the favorable trends and new high-growth verticals. The bidding environment is very active and we hope to have news to share soon. Second, we continue to make progress on expanding our Services business. We have worked hard to maintain our headcount by working with local technical schools to recruit and train our employees and offering retention incentives to ensure we minimize turnover given the competitive labor market. And we continue to look for additional ways to expand and retain our skilled craft headcount. Our new Spark Safety offering continues to gain traction in the market, and we have entered into several new MSA agreements with existing and new customers that will now give us opportunity to provide our new offering. I am very excited about the new business and look forward to continuing to grow our Services value offering to our customers. Lastly, we remain committed to maintaining bidding discipline in our large Fabrication business as we pursue new awards. While we are eager to replace our large fabrication project, given the ongoing inflationary pressures and challenges with availability of skilled labor, we will not enter into an agreement that does not meet our return objectives and risk tolerances as we continue to assess the overall return on the investment of our Fabrication assets. We are seeing challenges for our competitors that have taken on fixed price contracts in this inflationary entitled labor environment and as such, we will continue to remain disciplined. In closing, I'm encouraged by our second quarter results and I'm even more excited about the future of Gulf Island. When we set out on this journey a few years ago, we were focused on stabilizing the business, improving our processes and discipline, and building a stable and profitable business, and pursuing growth. We have accomplished quite a bit over these last few years and through our team's hard work, we are well positioned for the future. I will now turn the call over to Wes to discuss our quarterly results in greater detail.
Wes Stockton: Thanks, Richard, and good afternoon, everyone. I will discuss our consolidated results and then provide some additional details regarding our segment results, putting in context the factors mentioned by Richard and their impacts on the quarter. I will then conclude with the discussion of our liquidity. Consolidated revenue for the second quarter 2023 was $39.3 million, an increase of 9.5% from the second quarter of last year, driven by continued growth in small-scale Fabrication and growth for our Services division including the contribution of our new Spark Safety business line. Consolidated operating income for the second quarter was $749,000 and EBITDA was $2.1 million. Our consolidated results reflect the positive contributions from our Services and Fabrication divisions, offset by cost associated with our Corporate division and legal and advisory fees and project losses attributable to our remaining Shipyard operations. Specifically for the Services division, revenue for the second quarter 2023 was $24.5 million, an increase of 10.3% compared to the same period last year. The increase was driven by higher activity for the division's core offshore services business as well as incremental revenue associated with the Spark Safety business line which commenced operations in the third quarter 2022. Services EBITDA for the second quarter was $3.8 million, up 38% compared to the $2.7 million reported in the prior year period owing to our strong revenue growth and a more favorable project margin mix as we continue to shift resources to higher return opportunities given the tight labor market. As a result, EBITDA margin was 15.4% for the second quarter, up 310 basis points from the prior year period. Given the strength of our end markets, favorable competitive position and contribution of our Smart Safety business line, we expect year-over-year organic EBITDA growth in the third quarter 2023. However, our third quarter results will likely be lower than the second quarter 2023 due to the timing of certain Services project opportunities, including Spark Safety. For our Fabrication division, revenue for the second quarter 2023 was $14.7 million, an increase of $3.9 million compared to the same period last year due primarily to higher small-scale fabrication activity. Fabrication EBITDA for the second quarter was $2.1 million versus $2.4 million for the prior year period. EBITDA for the second quarter 2022 included a gain of $3.4 million from the net impact of insurance recoveries and costs associated with damage previously caused by Hurricane Ida. Excluding the Ida impacts, the improved results for 2023 were the result of higher revenue, a more favorable project margin mix and a decrease in the under-recovery of our overhead costs. The improvement in our recoveries was due to improved utilization of facilities and resources driven by higher small-scale fabrication activity and recoveries of approximately $1.2 million associated with the division's large fabrication project prior to its cancellation. As a result of a large project cancellation, we expect our results in the third quarter to be lower relative to the second quarter as we work to mitigate the impacts of the cancellation on the remainder of 2023. For our Shipyard division, revenue for the second quarter 2023 was entirely related to our 70-vehicle ferry and two forty-vehicle ferry projects. Our loss for the quarter was primarily related to project charges resulting from the impacts mentioned by Richard, vessel holding costs and legal and advisory fees associated with our MPSV litigation, and the partial under-recovery of overhead costs due to the underutilization of our resources as we wind down our Shipyard operations. For our Corporate division, operating loss was $1.9 million for the second quarter 2023 compared to $2 million for the prior year period with the decrease due to various cost savings. With respect to our liquidity, we ended the second quarter with a cash and investment balance of approximately $40 million, down roughly $5 million from the first quarter, owing primarily to anticipated working capital requirements for our Services and small-scale Fabrication businesses, and temporary working capital usage related to our canceled fabrication project. At June 30th, we had total receivables of $11.3 million related to the canceled project, representing a decrease of $4.2 million from our balance in March. We are working with our customer regarding the timely payment of the remaining outstanding amounts and continue to maintain a payment guarantee bond from the customer as security for the remaining receivable balance. This concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: [Operator Instructions] And your first question comes from Jeff Geygan with Global Value Investment Corp. your line is open.
Jeff Geygan: Yep. Thank you. Good afternoon, guys. Appreciate you taking my questions.
Richard Heo: Hey, Jeff. How are you? Good afternoon, Jeff.
Jeff Geygan: Doing well, thanks. Can you talk a little bit about the Texas vehicle that's delivered or vessel that's been delivered and the corrosion and the potential economic impact from that?
Richard Heo: Yeah. So as we commented on our prepared remarks, it has been delivered to a shipyard close by where the ferry will be finally operating as a condition of the turnover. When we drydocked her to inspect the hull, again as a condition of the turnover, we experienced or saw some corrosion on the propellers. The corrosion, we are still troubleshooting the exact cause of the corrosion. There's some discussion right now with both the OEM, the propeller blade manufacturer, and also the owner's engineer who specified the cathodic protection, the anodes. And so we as the builder don't feel that we have responsibility obviously and we're working with the customer, but the contract -- these boat contracts are very specific in terms of us giving them new material. And so that's really where the whole point is. We expect to come to some conclusion here in the near future, in the short near future. And in terms of the magnitude of the cost, it's hard to tell right now because, again, where we sit, we don't think that there's any obligation from our side from a financial standpoint. But just to give you a frame of reference, the propeller blades from an order of magnitude is in the ballpark of $1.5 million to $2 million.
Jeff Geygan: Yep. Got it. All right. Appreciate that. My other question is with respect to your small fab business as opposed to large fab, what are the economic characteristics of that small fab on a run rate versus getting a large fab piece of business in there?
Richard Heo: Can you clarify what do you mean by run rate? Are you talking about the…
Jeff Geygan: Well, assuming you'll have a lot of turnover with the small projects, I'm just wondering about the frictional cost of having lots of little projects as opposed to one larger project and what the margin on the smaller projects looks like compared to the margin on a larger project.
Richard Heo: Yeah. Luckily, a lot of the small projects are with a handful of customers. So, it's not like we're dealing with each and every small project is a different customer. And so that helps some decrease or some of our transaction costs. But I think that's maybe what you're alluding to. We don't see really a material kind of additional cost to operate the small fab business. And frankly, we would like to have more the small fabrication project for the reasons you laid out, Jeff, in that they're quicker book and burn. And so the risk profile from a schedule standpoint is lower, and they tend to have a better margin just because the customer has needs that are more kind of immediate. And so we see higher margin profiles in those projects.
Wes Stockton: From an overall perspective, higher double digits is more since we generally talked about the fab business being high single digits, low double digits, right, on a blended basis when you layer in some of the bigger work, but this smaller work tends to attract a much more significant margin.
Jeff Geygan: Yep, great. No surprise, appreciate it. And last question regarding the Spark Safety, congrats on the new customer awards there. Is there a supply or demand issue? In other words, if you had more labor, can you sell more of the services?
Richard Heo: No, it's really not. So because we're the new entrants into this market, Jeff, it's really about getting the customers comfortable with our value proposition. We think we have a better mousetrap in terms of the safety added features that we've put into our program. The customers are starting to recognize that and so the nice thing about that Spark Safety business is it's less dependent on labor headcount, meaning most of our Services business is craft hours driven, whereas this is not. Right? And so we're really excited about what we've built here with Spark Safety and look forward to having that be a strong contributor to our Services growth.
Jeff Geygan: Great. Appreciate it. Good luck with the second half of the year. I know that the litigation's got to be frustrating for you guys, but it seems like you made a lot of progress here. So congrats on the good numbers today and look forward to hearing more as this year unfolds.
Richard Heo: Thank you very much, Jeff.
Operator: [Operator Instructions] And there are no further questions at this time. I will hand the call back over to Richard Heo for closing remarks.
Richard Heo: In closing, I want to thank our customers and shareholders for their continued support as well as recognize our employees who continue to demonstrate a commitment to Gulf Island's success. For those on the call, thanks again for your interest, and I look forward to speaking with you on our third quarter results conference call and updating you on our progress. Be safe and take care. Thank you.
Operator: This concludes the Gulf Island conference call. Thank you and goodbye.